Operator: Good morning and welcome to the Newmont Mining Second Quarter Earnings Conference Call. All lines will be on a listen-only mode until we open for questions and answers. Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to Meredith Bandy, Vice President of Investor Relations. You may begin.
Meredith Bandy: Thank you and good morning, everyone. Welcome to Newmont's second quarter 2014 earnings conference call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer; Laurie Brlas, Chief Financial Officer. They and other members of our executive team will be available to answer questions at the end of the call. Turning to slide two, I’d like to refer you to our cautionary statement. We will be discussing a number of forward-looking information, which is subject to a number of risks. More information is included in our SEC filings, which can be found on our website at newmont.com. Now, I will turn it over to Gary.
Gary Goldberg: Thank you all for joining us this morning. I will start by introducing Meredith Bandy, our new Vice President of Investor Relations. Meredith joined us from BMO where she was an equity research analyst covering metals and mining. Many of you know Meredith from her past life. I am sure the rest of you will get to know and appreciate Meredith. I welcome this opportunity to highlight our strong second quarter results. We continued to exceed our cost and efficiency improvement targets while maintaining planned gold production. We also made strides in optimizing our portfolio and have generated nearly $800 million in non-core asset divestitures. Finally, we announced that we will develop the Merian mine in Suriname, the first in our optimized organic project pipeline to get the green light. Efficiency and safety go hand-in-hand and we also continued to improve our safety performance. Turning to slide four. We’ve achieved seven straight quarters of keeping our total injury rates at or below 0.5 per 200,000 hours worked. And in the second quarter, we brought those rates down to an all-time low of 0.32. This represents industry leading performance, and more importantly, it represents 30,000 people taking accountability for working safely day-in and day-out. While we are heading in the right direction, our performance was marred by the loss of George Ayama [ph] a contract security guard at Ahafo. We continue to keep George and his family in our thoughts as we renew our commitment to working safely and looking out for each other. This photo shows our team at the Yanecocha truck shop, who recently reached one year working without injury. One shift is coming up on four years working safely proving that zero harm is possible. Our focus on improving every aspect of our business continues to pay us. Turning to slide five. Our work to improve cost and efficiency helped us achieve a 17% per ounce reduction in gold all in sustaining costs and costs applicable to sales compared to the prior year quarter. Well some of that was related to fewer inventory write downs this year than last. 10% of our all in sustaining cost improvement was a direct result of operating more efficiently. At the same time, we were able to increase gold production by 5%, compared to the second quarter of 2013. Based on this positive trajectory, we’ve updated our 2014 outlook to reflect a 3% improvement in costs and a 2% improvement in production for the year. As we continue to optimize our project pipeline, we are pleased to announce that we’re developing Merian in Suriname, a profitable new mine that offers lower cost production and establishes a foothold in a perspective new gold district. I will cover more on Merian in a few minutes. Building on our record of delivering projects Akyem and Phoenix Copper Leach on time and on budget, we are also progressing Turf Vent Shaft project in Nevada on time and on budget this year. We also completed the sale of Jundee for $94 million on July 1st which is up slightly from the previously announced 91 million due to working capital adjustments. This brings our total proceeds from the sale of non-core assets to nearly $800 million. Finally, we made progress on improving our financial flexibility. During the second quarter we generated a $124 million in free cash flow and reduced capital expenditure by 58% over the prior year quarter. Let’s turn to more specifics on slide six. In the second quarter, we generated $359 million in cash savings on our gold all-in sustaining costs, bringing our year-to-date savings to $442 million. This puts us well ahead of schedule to achieve savings of approximately $600 million to $700 million by 2016. Quarter-on-quarter, we reduced all-in sustaining costs from $1,283 to $1,063 per ounce, an increase attributable gold product from 1.17 million ounces to 1.22 million ounces. We also increased attributable copper production by 4% quarter-on-quarter primarily through the added production at our Phoenix Copper Leach operation. I will take you through our regional performance now starting with production on slide seven. In North America, production dipped slightly from the prior year quarter due to planned lower grades of Twin Creeks, the sale of Midas and permitting issues at La Herradura, which have since been resolved. Production in South America was lower over the prior year quarter due to a plant stripping campaign. We expect production to increase in the second half of 2014 as we reached higher grades at the Yanacocha. Our Australia New Zealand operations delivered a 12% increase in gold production quarter-on-quarter. This performance was led by our teams at Tanami and Waihi, who increased production by 53% and 64% respectively through a combination of higher grades and increased mining and throughput. In Africa, gold production rose more than 70% quarter-on-quarter with the addition of Akyem which is running well. Akyem produced 113,000 ounces of gold at $396 per ounce, the lowest cost in our portfolio. Costs are down across the business. Turning to slide eight. We reduced our gold all-in sustaining cost by $220 per ounce compared to the prior year quarter. Year-to-date, this puts us below the low end of our 2014 guidance of $1,075 to $1,175 per ounce. These savings are sustainable and I will talk about the components starting with lower capital spending on slide nine. We reduced capital spending by $356 million or approximately 58% compared to the second quarter of 2013, about 75% of this reduction reflects a lower development spending as we completed Akyem and Phoenix Copper Leach on time and on budget in 2013. In Africa, we delivered Akyem $93 million below our budget. Our current development expenditure is focused on completed the Turf Vent Shaft where we spent approximately $22 million in the second quarter. Shaft sinking has advanced past the half way mark and we are on target to begin operation by late 2015. Remaining capital reductions are largely the result of improved asset management which drove sustaining capital expenditure down by $78 million quarter-on-quarter. Capital is one part of the story. We have also improved productivity across the business. I will now take you to slide 10. About half of our savings show up in the reduced costs applicable to sales. These savings represent successful leverage to improve efficiency across our operations with a focus on equipment utilization, mine planning and mill recovery. For example, at Boddington, we’ve achieved a 15% increase in shovel utilization and a 30% reduction in haul truck idle time in the mine. In the mill, we’ve improved utilization rates by 13% year-to-date by improving conveyor reliability in consolidating maintenance shut downs. In Nevada, we improved our management controls and scheduled downtime to deliver a 10% improvement in Mill 6 utilization. Sustaining capital has also been reduced across the board. As I mentioned, improving asset management has played an important role. To give you another example, we reconfigured our Ahafo plant to balance mining rigs with milling capacity, reducing stripping and related equipment cost while achieving healthier returns. We continue to optimize our exploration and project portfolio so that we are focused on our highest value opportunities. I will talk more about our project and exploration pipeline later in this call. To sum it up, our cost performance is about steadily and relentlessly improving every aspect of our portfolio from today’s mines to tomorrow’s growth prospects. Before I turn it over to Laurie I’d like to address the current situation in Indonesia. Turning to slide 11, beside PTNNT’s best efforts to resolve the export issue, a satisfactory outcome has yet to be achieved. Indonesia’s new export restrictions and duties are in conflict with PTNNT’s existing contract of work. The team was forced to halt operations on June 5th due to their inability to export copper concentrate. Realistically, we cannot continue to produce indefinitely without revenues. Logistically, there is simply no room left to store additional concentrate. We are pursuing two parallel paths to resolve this issue as quickly as possible; first, we are continuing our efforts to engage with the government which we hope will lead to a resolution outside of the arbitration. At the same time, we have filed for international arbitration to ensure PTNNT’s rights and assets are protected for the benefit of its stakeholders. The request for arbitration means that we will seek interim injunctive relief to get our people back to work and resume exports. In the mean time PTNNT continues to ship copper concentrate produced to date to PT smelting their Graphic smelter in Indonesia. The outcome of arbitration is obviously difficult to predict but we estimate it could take at least several months to obtain a ruling an interim relief and at least several weeks to ramp back to full production if relief is granted. In the mean time, we’ve adjusted our guidance. For illustrative purposes, a revised outlook reflects receipt of an export permit by January 1, 2015. I’ll end by reiterating our support for the people of Indonesia deriving full value from their natural resources. Our local economic contribution included 9000 direct and indirect jobs. We have paid more than $3 billion in taxes and royalties to the government to date and we demonstrated our commitment to supplying PT Smelting and other companies that intend to build copper smelters in Indonesia. We’ll keep you posted on our progress and I’ll now hand it over to Laurie.
Laurie Brlas: As Gary described our results indicate that our focus on lower cost resulted in a strong operating and financial performance for the quarter. With this focus we reduced cost, increased volume, delivered positive free cash flow and improved guidance. Turning to slide 13 and comparing this Q2 to the prior year quarter, as you can see we experienced a 7% drop in gold price and a 13% drop in revenue over the prior year quarter. While our production was up, we did experience a decline in sales volume primarily due to the export issues in Indonesia. Our GAAP net income from continuing operations was $182 million including a tax benefit due to a settlement with the IRS. Our full year tax rate guidance remains 37% to 40%. However, we expect to continue to see quarter to quarter swings in our tax rate, for example including the sale of Jundee our effective Q3 tax rate will be above our full year expectation. We reported adjusted net income of $101 million or $0.20 per share compared to a loss of $90 million in the prior year quarter or $0.18 per share. Cash provided from continuing operations was very strong at $378 million up 27% from the year ago quarter reflecting our commitment to reducing cost and improving efficiencies. We continue to be focused on generating free cash flow and we achieved $124 million in positive free cash flow from continuing operations for the quarter. Also during the quarter, we paid a previously announced dividend and as we announced this week our board approved a dividend of the same amount payable September 26. This dividend is based on our gold linked dividend policy and the average London PM fix during the first quarter which was $1288 per ounce. Turning to slide 14, we compare adjusted net income for the quarter to the prior year quarter. Lower sales volume and commodity prices compared with the prior year quarter were essentially offset by lower cabs this year as we focused on controlling what we could control. Improvements to cab are a direct result of the productivity inefficiency gains that Gary discussed previously. Stockpile revaluation had a significant negative impact on net income last year driven by the sharp drop in commodity prices in Q2 of 2013. With our continued cost savings efforts and reprioritization of projects, we saw a decrease in year-over-year advanced projects and exploration expense. As I previously discussed, we recognize the tax benefit this quarter, however this was a lower tax benefit than we recognized in Q2 of 2013. After considering all of that, we reported adjusted net income of a $101 million or $0.20 per share for the quarter. Turning to slide 15, we reported gold cabs for the quarter of $744 down 17% versus the prior year and at the lower end of our guidance for the year of $740 to $790. This continues to demonstrate focus and cost control as we also see in our improved 2014 guidance. The stockpile adjustments we experienced last year were a factor in the improved CAS, but we also saw significantly lower direct spend for all the reasons Gary mentioned. This lower direct spend was enough to more than offset the impact of the lower volume I mentioned earlier and the effective hedging due to the change in the Aussie dollar. Turning to slide 16 and our capital priorities, we continue to be guided by our capital allocation strategy. First, improving financial flexibility; second, enhancing our portfolio to focus on assets with the greatest risk reward profile, and third returning cash to our shareholders. We ended the quarter on a strong financial position with $1.7 billion in cash and non borrowings on our $3 billion revolver. We generated cash from continuing operations of $378 million which includes free cash flow of a $124 million. Since the quarter end, we completed the closure of a $575 million term loan and pay off of the convertible debt in July as planned. Our portfolio was strengthened with the decision to invest in the Merian projects. We estimate that at current gold prices, Merian can be financed out of cash flow, available cash balances and asset sales including the recently closed divestiture of our Jundee operation. Over the last 12 months, we have generated nearly $800 million from divestitures and reported over a $100 million in free cash flow, which positions us well to move forward with the investment in Merian. We have also returned $89 million to our shareholders so far this year. And now I will turn the call back over to Gary to discuss our improved 2014 outlook.
Gary Goldberg: Second quarter was another strong quarter and we are updating our 2014 outlook accordingly. Turning to slide 18; first, we’ve reduced guidance for gold costs applicable to sales by 3% to between $720 and $760 per ounce. Four of our regions have reduced their gold all in sustaining cost outlook as well. Second, we have increased guidance for attributable gold production by 2% to between 4.7 million and 5 million ounces. This increase reflects higher production in Africa and Australia more than offsetting the impact of the Jundee divestiture and declaration of force majeure at Batu Hijau. Our revised 2015 to 2016 guidance excludes Jundee and while we’re yet to resolve export issues in Indonesia, we remain committed to doing so. As I mentioned earlier, for illustrated purposes, we’ve presented guidance to reflect receipt of an export permit for Batu Hijau by January 1, 2015. Finally, we have updated our guidance to include Merian, with first production expected in late 2016. Turning to slide 19. I am pleased to announce that we are moving ahead with our project in Suriname. Our team has been on the ground for 10 years shaping Merian into a profitable operation and securing a position in the perspective Guiana Shield. During Merian’s first five years of operation, we are forecasting average annual production of between 400,000 and 500,000 ounces of gold, at all in sustaining cost of between $750 and $850 per ounce. Total capital to bring Merian into commercial production is estimated at between $900 million and $1 billion on a 100% basis. The Government of Suriname has the right to acquire a 25% fully funded interest including all project capital, operating expense and an earnings contribution, which could reduce Newmont’s share of project capital to $650 million. Reserves at Merian are reported at 4.2 million ounces with a projected mine life of 11 years. As Laurie mentioned, we anticipate funding Merian through cash flow and available cash balances and we will begin construction as soon as the government grants us right of exploitation. Merian is one of the several projects in our organic growth pipeline. Let’s turn to slide 20 for an update on the others. Our team has spent considerable time over the past 18 months optimizing our project portfolio so that when the time is right, we can move forward with developing projects that generate good value. This year, we are completing feasibility studies at Long Canyon in Nevada. We are taking a phased approach to developing this world class asset in the first phase is expected to deliver about 150,000 ounces of production for year at competitive cost. We anticipate reaching a decision to proceed in 2015. We are also advancing two expansion projects in Ghana. First, the Ahafo mill expansion, which would increase throughput and help counter the impact of lower grade ore. This investment is expected to add about 200,000 ounces of production and we will reach a decision to proceed in 2015. Second, developing the Subika underground mine, which should improve ore grade and add another 200,000 ounces of production in Ghana. We will reach a decision to proceed with this project in May 2015 or early 2016. In New Zealand, we are in the final definition stages of our Correnso mine and expect to make funding decision in the near future. This is roughly $32 million development extends the life of Waihi. The exploration drive development was completed in May and drilling is nearly done. We are working closely with the community to ensure successful development of this new underground mine. Finally, in South America, we recently completed a review of our Conga project to assess alternative development options. At this point, there is no obviously smaller approach and we continue to review alternatives to reducing development capital especially with earth works. All told, our short-term project pipeline represents more than 1 million ounces of production at competitive costs. We also have some exciting exploration prospects. A few examples of exceptionally high grade volumes in our own backyard include Exodus and Bull Moose, which are near our existing Carlin underground operations in Nevada and Federation which is adjacent to our Tanami operations. These prospects are expected to add higher grade material to our inventory in 2014. It is still early days and we will keep you informed about our progress. Summing up our performance and prospects I will leave you with a view of where we are taking the business. Turning to slide 21. As we demonstrated in the second quarter, we continue to strengthen our ability to create value for our shareholders in three main areas. First, through continuous cost and efficiency improvements which we are achieving by operating more efficiently not just delaying our spend; second, through continuous portfolio improvement which we are delivering by optimizing our projects and divesting non-core assets; third, by maintaining a strong balance sheet. We are on track to maximize value in the short-term and to capture the benefits of economic recovery and demand growth in the longer-term. Our ultimate goal is to lead the gold sector and creating value for our shareholders. As always, I welcome your questions as we work towards that goal. Thank you for your time and now over to your questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Andrew Quail, Goldman Sachs. Your line is open.
Andrew Quail - Goldman Sachs : Just on Indonesia. If we don’t see those export permits received by sort of 1 January ’15. Do you see that will fit the construction decision or time line at Merian?
Gary Goldberg: At this stage and as we looked at our future cash flows and there are variety of gold price scenarios we are comfortable, we’ve separated those two in terms of our financing concerns. We believe we can still cover it with our existing cash flow from our operations and as Laurie mentioned potentially some additional asset sales, but we really feel comfortable without having the two linked.
 Andrew Quail - Goldman Sachs : And it really is a complex situation but there is dates that you guys could give anything on visible catalyst on sort of the international arbitration case. So is it just too early to speculate?
Gary Goldberg: No, I think the ranges I gave in terms of the filing is a process that goes through nominating the different arbitrators that will represent folks and we’re going through that process now and as I mentioned several months before we get to a point of considering injunctive release. But more importantly, it’s a dual track process and from our standpoint, we’d rather reach an agreement with the government directly rather than go through the arbitration process but reach the point where we felt we needed to file that to get some certainty around the process.
Andrew Quail - Goldman Sachs : And one on the copper guidance, it goes up in ’16. Is that a function of mine sequencing or is there something else going on there?
Gary Goldberg: Yeah, by delaying basically six months of production at Batu Hijau in the forecast that pushed some of the production that we would have received at the very end of ’14 into ’15 and also slipped some from ’15 into ’16, so it’s ’16 up.
Andrew Quail - Goldman Sachs : And last one just on CapEx in other South America. You guys are sort of guiding for about 225 to 270 and you are planning on about say two tenths of a million, obviously is the rest Conga or do you see sort of I’d say delaying some of that Conga that you’ve guided to in 2014 to further use that?
Gary Goldberg: Yes, that’s basically -- Merian is the majority of it and we’ve got Conga with our water first approach going there.
Operator: Thank you. Our next question from John Bridges, JPMorgan. Your line is open.
John Bridges - JPMorgan: Sorry to be repetitive, but just wondering with Batu Hijau is there any case law around reopening the mine in arbitration process, you know. Do you have sort, how much confidence do you have in that scenario.
Gary Goldberg: I think, from our standpoint in terms of case law, I’m not sure there’s a lot of examples that would mimic our exact case that’s going on but that’s why we want to continue down both arbitration path but more importantly to continue with dialogue with the government to try to reach a resolution. A lot has happened here in the last week or two in Indonesia and currently this week there’s religious holidays going on so we’ll see how the dialogue goes starting again next week.
John Bridges - JPMorgan: Okay, in your logic (ph) about Merian you talk about a new innovative development plan there, what have you changed, the capital under there is relatively low.
Gary Goldberg: Basically what we’ve done, we’ve slightly increased the size of the mill but more importantly over the last couple of years because we’ve had time to do additional in field drilling we’ve confirmed the amount of saprolite that’s there, which allows us to be able to give the higher and increased production rates.
John Bridges - JPMorgan: Is there a plan to increase the scale of the mill when you get into the hard rock to maintain throughput?
Gary Goldberg: At this point we’d be looking to add some additional crushing capacity once we get into that further down. I think the other piece getting back to what we’re looking at with Merian as we’re looking at outperforming, we’ll be working with G Mining and people who’ve had expertise in developing projects in Suriname rather than bringing in a large EPCM contractor to do the work.
John Bridges - JPMorgan: That place will be tricky, right.
Gary Goldberg: Yes.
John Bridges - JPMorgan: New Zealand, just finally, is bit surprising because there’s been a talk about that asset being up for sale, any thoughts about the longer term strategy with that.
Gary Goldberg: I think it continues a good performing asset, we see good expansion possibilities with the life as I mentioned with Corenzo and we’ll continue to work down the path of developing all our assets to their fullest capability but always be open to consideration if others should come along and value the asset more than we do.
Operator: Thank you, next question David Haughton, BMO, your line is open.
David Haughton - BMO : Yes, good morning Gary, so I thank you for reintroducing that pipeline, it gives us a good idea as to where your projects are situated and the first one off the block is Merian. You’ve mentioned that there’s potential for the government to participate 25% in this project, what’s the timing and the kind of payments that they’d have to come up with to be able to do that.
Gary Goldberg: Thanks David. The timeframe they have basically once the right of exploitation has been issued, they’ve got a 105 days in which to fund their up to 25% investment. The amount that they would fund is based on a multiple of historic cost and actually they go through a process of auditing what’s been spent to come up with what the historic costs are and then we’d fund that amount and then we’d just carry if they didn’t exercise the 25% they would pay for basically their 25% share going forward and we’d cover our 75%.
David Haughton - BMO : Okay, and the [Indiscernible] for the government that you can read, they’re open to that kind of investment?
Gary Goldberg: Yes, and the discussions we’ve had and we need to let them do their process and speak for themselves but they appear very interested in pursuing their 25% interest.
David Haughton - BMO : Okay and what’s the fiscal rating that you’ve got there with the royalty in tax.
Gary Goldberg: Give me just a second here; I’ve got to remember the royalty rates.
David Haughton - BMO : At one stage I think it had been set at 5%.
Gary Goldberg: I believe 6% is the royalty that we’ve agreed in our mineral agreement.
David Haughton - BMO : All right, and the income tax?
Gary Goldberg: It is 36. I need a table of all the ones from around the world because; I sure don’t want to make them all consistent but.
David Haughton - BMO : All right and Laurie made the point that you’ve got the internal capacity to fund that, but what do you think about project finance at all for this endeavor.
Gary Goldberg: We could at some point but at this stage we don’t see the need to do that, but at this stage we’re not considering it.
Laurie Brlas: [Indiscernible]
David Haughton - BMO : Yes, fair enough. Okay and yes I did hear that, it sounded like you’re at the bottom of the well but I did hear that, thank you Laurie. And just finally just looking at Africa, it’s outperformed expectations and I guess the sense that one gets from that is, is it sustainable and what are the key drivers for you in making it sustainable at that, the outperformance would seem.
Gary Goldberg: I think in Africa we’ve done a couple of things, clearly building a team on getting things settled and moving that forward has been critical. I think the team’s done a really good job and we see good production as continuing well there. With Ahafo it needed a bit of a step back, much like we did at Tanami as we stripped out some of these projects, the mill expansion and the underground it helped to expose some opportunities to improve basically the overall plan and make sure that we matched mining rates to milling rates. By doing that that’s reduced our stripping requirements here over the next year or two and helped basically to improve the overall results there. And then we can look at those expansion projects in a more measured way and bring them on in stages rather than try to bring them on all at the same time. At the same time, we are doing work at a Ahafo North to continue to better understand that resource and how it may fit in and what the timing maybe. And we’ve looked alternatives, whether it’s a standalone mill or we try to transport or down to the existing Ahafo complex. Right now probably looking better towards a standalone mill but that’s still out there in the sea where that sits on the pipeline.
Operator: Thank you. Next question, Patrick Chidley, HSBC. Your line is open.
Patrick Chidley - HSBC: Just a question on Merian, back to Merian. With respect to power I understand that you are planning to use basically truck HFO into the site and generate your own power. Given that there is quite a little hydro power in Suriname, is there a chance so that government might come to the party and with some low cost hydro to actually help you develop maybe even a bigger mine in future which would be beneficial for the country similar maybe to what Quebec does with its mines for example providing low cost power and could that be linked to the government buying for example?
Gary Goldberg: Yes, Patrick thanks for the question. At this stage because of where we are located, we are not on the grid. So it would take putting reticulation and connect this up to the grid to be able to that. That said with the gen sets we are putting in and we are doing it in a staged basis because we don’t need as many to begin with. We’re expecting our power cost at current diesel prices and oil prices to run around $0.15 to $0.17 per kilowatt hour. So I wouldn’t rule that out, but at this stage it would depend on finding more ore and being able to extend our resources there to look at those sorts of alternatives. So it’s not part of our current discussions with the government.
Patrick Chidley - HSBC: Right, right. Just maybe the government could help on the power side, if they have trouble financing that 25% for example. And in terms of the first five years that you forecast, is that all in saprolite or when do you switch the fresh ore and when you do switch the fresh ore, is there a change in the grade profile?
Gary Goldberg: It’s all in saprolite. The grade would drop just a little bit at that stage, but it actual stays fairly consistent over the mine life and we start to get into the fresh ore, the non-saprolite ore more in year six and seven in the plan.
Patrick Chidley - HSBC: And then six and seven does the great change at all or does it stay the same sort of average reserve grade?
Gary Goldberg: It just gets harder. It’s not much of a change in grade. 
Patrick Chidley - HSBC: Okay, thanks. And just Yanacocha, based on your corporate [indiscernible] pilot program when you still receive.
Gary Goldberg:  I was down there a couple of weeks ago and had a chance to take a look at the pilot plant and see how it’s working. So they continue to work through as you’d expect just when you are working small heaps like this, then some of that some offset that you get along the way but they are producing a good quality copper cathode, we are getting the recoveries in sort of the time frames in fact a even a little bit better in some cases and testing what’s the right size. We did this at run a mine ore and different sizes of crushing to see what gets the best recovery over time and see how that then fits into our larger plan to develop that ore body, but that still remains one of several ways of developing the copper gold portions of the Yanacocha ore body as we look also at different milling and options to handle the NRJ.
Patrick Chidley - HSBC: Thanks. And final question just on guide, you mentioned two options to increase production by 200,000 ounces each. Can you say whether that’s you thinking about that as replacement ounces and so you have steady production or is that going to be a net increase in production in 2017 onwards.
Gary Goldberg: Yes, I think it’s a combination. So I wouldn’t just add for 400 on top out there. But it wouldn’t completely replacement; some of it will be in expansion especially I think the underground as we would go into that because of the higher grade that we get.
Operator: Thank you. Next question from Greg Barnes, TD Securities. Your line is open.
Greg Barnes - TD Securities: Just returning to Merian again, what kind of internal rate of return do you estimate on the project at current spot gold price around 1,300?
Greg Goldberg: Current price as we see it in the high teen’s rate of return.
Greg Barnes - TD Securities: Is that a livid (ph) IRR or just a straight project IRR?
Greg Goldberg: It’s just a straight project IRR.
Greg Barnes - TD Securities: Okay. And what about more technical details regarding the stripping ratios and cost per ton mining milling those kind of details, are they available?
Greg Goldberg: We can get back on that through Meredith. I don’t have those in front of me right now.
Greg Barnes - TD Securities: Okay, I will contract Meredith. Thanks.
Greg Goldberg: Okay. Anything else Greg?
Greg Barnes - TD Securities: No that’s it.
Operator: Thank you. Our next question, Jorge Beristain, Deutsche Bank. Your line is open.
Jorge Beristain - Deutsche Bank: Just really a technical question first on slide 15, you highlighted a large drop in your cost applicable to sales of 17%, the largest driver is stockpile revaluation. Could you just walk us through how that is a cash flow impact, perhaps Laurie?
Laurie Brlas: Yes, that is really not going to be a cash flow item because that was primarily the revaluations last year that happened when the gold price dropped so we revalued the stockpiles that we have been carrying on the balance sheet so that would primarily be not a cash flow item.
Jorge Beristain - Deutsche Bank: Okay, and then just some comments that were made earlier, I think by you Laurie about the 100 million of free cash flow. Over what period was that?
Laurie Brlas: The last trailing four quarters.
Jorge Beristain - Deutsche Bank: Then you implied that you had paid about 89 million of dividends, so the 100 million of free cash flow, I’m assuming that’s pre dividend.
Laurie Brlas: Correct.
Jorge Beristain - Deutsche Bank: So rough number is what you earned in cash flow you paid out as dividend and then you also did about 800 million of asset sales. So, what I’m trying to understand on a go forward basis is how much do you view, you said that you internally cover Merian with internal cash flow, but you also mentioned the possibility of further asset sales so are you kind of earmarking any part of that of your 650 million CapEx to be covered by asset sales on a go forward basis.
Laurie Brlas: No. Nothing specific like that Jorge and just a reminder that that 650 is going to be over the next three years so that expenditure covers a significant period of time here so it’s not all coming in 2014 or even ’15.
Jorge Beristain - Deutsche Bank: Okay, and then in your 2016 guidance, where Merian first starts up, could you comment, are you assuming a 100% ownership at that point or are you assuming 75% and then the government comes after their 20%.
Laurie Brlas: No, we’re assuming 100%. We would not assume that they’re coming in, all of our numbers were, they’re 100% at this point in time, the capital expenditure and the production when it comes online.
Gary Goldberg: We’ll go ahead and change the guidance should the government decide to exercise its right and modify that going forward. It’s relatively small in 2016, you won’t see a big number change but we would get those numbers plus the change to capital expected.
Jorge Beristain - Deutsche Bank: Right, and how does the timing or the contract work for the government, do they have an open time table any time up until the mine is built or even after it’s built, to exercise that 25% option or is it kind of a use it or lose it thing under a certain calendar.
Gary Goldberg: Basically, a use it or lose it approach I guess is one way of looking at it, they’ve got a 105 days from the issuance of the right of exploitation which now that the board had approved and we’ve announced that we’re ready to move forward, that happens first and then they’ve got a 105 days.
Jorge Beristain - Deutsche Bank: Thanks, and what’s the timeframe for when you believe they’re going to issue this right of exploitation.
Gary Goldberg: We believe they have all the information they need in which to be able to issue that at this stage but need to now work closely and check in what their sort of timeframe is. I don’t expect it to be long, but it’s one we’ve got to work through with the government.
Operator: Thank you, our final question comes from Brian Yu, Citi, your line is open.
Brian Yu - Citi : Thanks, good morning. My first question is, I guess there’s looks more at longer term CapEx versus balance sheet and it wasn’t that long ago where people asking you what you’re doing in equity issuance delevering. I think we’re coming out is this a CapEx spend, you’re starting to take on more projects. How should we think about, as you make decisions on others like Ahafo, Subika and others? Is the target to maintain the current debt level, net debt level, what’s going to dictate your ability to spend on these new projects?
Gary Goldberg: At this stage the net advantage we have is these aren’t all coming in at the same time and they’re not real large projects in terms of capital, in fact Merian, the largest of the ones we’ve talked about other than Congo which obviously is a bit bigger than those, so we’re going to assess each at the time. Our focus is still going to be looking to deliver these projects from within our own cash flow and operating cash flow from the business, but we can assess at the time, but there’s no intention to either issue more debt or to issue equity to do these, we’re looking to do it from our existing asset business.
Brian Yu - Citi : Okay, great and then second one, let’s circle back to Indonesia, I know when you guys had gone into arbitration of the Free Port actually struck their MOU, looks like they’re ramping up, number one there’s this change thing over the near term and into your fiscal, continue to proceed with arbitration. Are you guys hoping for a better deal structure than what Free Port was able to get.
Gary Goldberg: Yes, I think you know the structure that they had and the things they’ve got different issues they were addressing in their changes to their contract at work. We’re having similar discussions with the government around making changes to the contract at work aligned with what both our mine characteristics are and the differences in our contract at work. That said we’re confident in our arbitration case otherwise we wouldn’t have filed it, but we’re really interested in finding a negotiated solution with the government and want to continue down this parallel path to resolve it as soon as possible.
Gary Goldberg: Thanks Brian, and we have a couple more questions I’m told.
Operator: Thank you, next question from Adam Graf, Cowen, your line is open.
Adam Graf - Cowen: Just a quick question on Long Canyon, I know it’s still preliminary but could you give us the timing of when you guys would breaking ground and then starting first production on phase I for Long Canyon? And then perhaps then talk about how you envision transitioning to phase II?
Gary Goldberg: Yes, at this stage Adam we are still going through finalizing the engineering studies and working to get the permit this year. We bring that one forward early next year for consideration. If we are to make the decision to move forward, we are looking at capital expenditure in the $250 million to $300 million range for that production level and that’s about a five to six year mine life that would have. So it’s during that phase of production that we’d be looking develop phase II and be in a position to have that take on either at the end or slightly before the end of that sort of five to six year mine life. So that’s all still a bit rough and we will get more details as we get through some of those studies and get more certainty around permitting. Operator I think we have one more.
Operator: And our next question, Farooq Hamed, Barclays. Your line is open.
Farooq Hamed - Barclays: I just had a couple of follow up questions really on some of the guidance that you guys put out and maybe just some housekeeping around that. For ’15 and ’16 you are assuming that you have Batu Hijau export permits back again, what is the production that you are expecting from Batu Hijau for ’15 and ’16?
Gary Goldberg: Well basically what you see in the copper, I am just taking a look at the production numbers and I don’t have the exact numbers in front of me.
Laurie Brlas: [Indiscernible]. There is no change to those estimates; we’re just pushing out by six months for the [indiscernible].
Farooq Hamed - Barclays: Okay, sorry I missed the front part of what you were saying. So you are saying there is no change from what you put out previously.
Laurie Brlas: The July 1st 8-K which we filed in conjunction with the announcement of the arbitration breaks out the Batu Hijau production and that’s not changed, it’s just pushed back and we can go over that offline if you would like.
Farooq Hamed - Barclays: Sure, okay that’s no problem. Maybe I’ll just follow up in the offline. And then just with regards to 2014 guidance, I know on the call, you said that you are expecting better production from Yanacocha in the second half, I missed the comment about North America. On an overall basis, are you expecting better production in the second half of the year versus the first half?
Gary Goldberg: In North America slightly better, we had but not a very big change because we continue Mexico will help if not having Mexico in the first versus the second half will probably the biggest part driving that through.
Farooq Hamed - Barclays: So you are actually from the America side, you are looking at production both in North and South America in H2.
Laurie Brlas: Yes, yes.
Farooq Hamed - Barclays: Okay, no that’s fair. I just wanted to update my numbers and actually had you guys coming down a little bit in the second half. So that’s helpful. Thanks very much.
Gary Goldberg: Thank you, everyone for joining us. It’s a very pleasing to talk about the results for the second quarter, strong results out in the operations as we continue to deliver our commitments to the market and to our employees and the rest of our stockholders. Very pleased to see Merian is moving forward, one of several projects in organic growth pipeline and I appreciate everyone joining here this morning. Have a good day, thank you.
Operator: Thank you. This does conclude today’s presentation. You may disconnect at this time. Thank you for joining.